Operator: Good morning and welcome to todayâs conference call to discuss Crestwood Equity Partnersâ second quarter 2022 financial and operating results.  Before we begin the call, listeners are reminded that the company may make certain forward-looking statements as defined in the Securities and Exchange Act of 1934 that are based on assumptions and information currently available at the time of todayâs call. Please refer to the companyâs latest filings with the SEC for a list of risk factors that may cause actual results to differ.  Additionally, certain non-GAAP financial measures such as EBITDA, adjusted EBITDA, distributable cash flow, and free cash flow will be discussed. Reconciliations to the most comparable GAAP measures are included in the news release we issued this morning. Joining us today with prepared remarks are Founder, Chairman and Chief Executive Officer, Bob Phillips; President and Chief Financial Officer, Robert Halpin; and Executive Vice President and Chief Operating Officer, Diaco Aviki. Additional members of the senior management team will be available for the question and answer session with Crestwood current analysts following the prepared remarks.  Todayâs call is being recorded. If anyone should require Operator assistance, please press star, zero from your telephone keypad.  At this time, Iâll turn the call over to Mr. Bob Phillips.
Robert Phillips: Thanks Rob, and good morning everyone. Thanks again for joining for this quarterly update. Weâre going to discuss our second quarter results in some detail and our outlook for the second half of the year, but first I want to highlight where we are strategically as Crestwood has completed a lot of key transactions in the past 18 months. I also want to really brag on the management team for repositioning the company in front of this current commodity cycle. I think weâre extremely well positioned to really grow the business over the next couple of years. I also want to touch on the late winter weather incident that we experienced up in North Dakota. It caused us to come in a little bit under market expectations for the quarter. I think when you see--when you add back the impact of that to our actual results, we would have come in right at consensus and expectations. Then, Iâm going to turn it over to Robert to go through the quarterly results in detail and also the updated guidance for 2022, which I think is critically important here. To get started, Iâm pleased to tell you how well we are positioned and how good the portfolio looks for the next 24 months in the current commodity cycle. If we take a step back, Crestwood has come a long way in a short amount of time. Just a quick review, in 2017 to 2019, you might remember that we completed a number of significant organic capital projects, including the Bear Den plant up in North Dakota, the Bucking Horse plant in eastern Wyoming, and the oil and gas plant down in Texas in the Delaware Basin. These are our three core areas - the Williston, the Powder River, and the Delaware. This is the underpinning of the company going forward.  In 2020, we clearly made it through the COVID disruptions without cutting our distribution, and we maintained a strong balance sheet that gave us currency to be able to continue to grow the business, and weâre proud of our actions there. In 2021 and year to date through 2022, as those core assets and expansion projects were filling up, we started executing on a regional consolidation strategy through very complementary bolt-on acquisitions such as Oasis Midstream in the Williston, Sendero and rolling up CP JV in the Delaware, and we paired those with some long term critical infrastructure projects that expanded our reach in each of those basins, including such as the Continental Express pipeline system in the Powder River Basin, which connects all of continental resources acreage there in the basin. Our goal was and will continue to be a top three G&P company in all of our core areas.  Throughout the execution of our recent consolidation strategy to maintain balance sheet strength and flexibility, which is our top priority, we acquired many of these assets with common equity, aligning the interest of the holders with Crestwood and in transactions that were immediately accretive to DCF. We also divested some of our low growth assets in the portfolio at premium market multiples, which greatly improved our overall portfolio growth potential for the future. As a result, I just want to highlight that weâve transformed Crestwood from a company that was generating adjusted EBITDA of about $527 million in 2019 with a relatively scattered asset base and limited competitive advantage in these high growth basins, and we are now at generating north of $820 million a year of adjusted EBITDA - thatâs an increase of over 55%, and weâre generating that with an asset base that is solid and competitive in the regions where we operate with enhanced competitive positioning, much larger scale, operational synergies, and a strong customer base in our core areas of the Williston, the Delaware, and the Powder River.  Just a quick update on our strategy - we think weâre in a really good position right now to generate some real strong growth in these areas. Our acquisitions have been timely, they offer significant operational and commercial synergies, and theyâre easily integrated into our core positions in each of these basins. Most importantly, they allow Crestwood to continue to grow while avoiding significant future capital expenditures due to the excess processing and compression capacity that we acquired in each of these acquisitions. Today, we now have $430 million a day of processing capacity in the Williston as it bounces back from winter storms. Iâm pleased to see we have about 43 rigs running there and production is headed back to 1.1 million barrels a day, that it was before the storms. We have $550 million a day of processing capacity in the Delaware, which I think you all know is the most active producing region in the U.S. by rig count today. Weâre really pleased with how our Orla, Willow Lake, and Sendero assets are integrating together. Then finally, we have $345 million a day of processing capacity in the Powder River Basin and we have great expectations for growth there in late â22 and 2023. Each of these transactions gives us valuable available capacity to meet future production growth from our producers, and going forward weâre now ready to shift our strategy back to harvest mode as we focus on integration and optimization of these assets to ensure that we capture all the benefits from the combined platforms. Now alongside our A&D program, weâve also benefited from upstream consolidations amongst our producer group. Itâs a very high quality group of producer customers in all three basins. In the Williston, as you know, Oasis just merged with Whiting to create Chord Energy, and theyâre a leading Williston Basin-focused company. Also, Devon Energy just completed its acquisition of RimRock, our number one and number two producers on the Arrow system, and weâre really pleased with the seamless nature of that and the integration synergies that they will see that will benefit the Arrow gathering system. These combinations not only enhance our customer base but also highlights the long term resource potential and the value of the Williston Basin and much of the acreage thatâs dedicated to us.  In the Powder River Basin, Continental has multiple acquisitions over the past year or two, and that gives us great optimism about the future of that basin and highlights the fact that now all of our core assets are underpinned and supported by some of the largest and most active upstream players in each of the basins for the Williston, the Powder, and the Delaware, so really pleased about where we are strategically as we head into a fairly strong commodity cycle. Now shifting gears, in the second quarter in North Dakota, we did experience two unusually late, extreme winter storms which brought over four feet of snow and caused prolonged power outages and other facilities disruptions that impacted production volumes across the Williston Basin. While the weather is always outside of our control, I want to say that Iâm extremely proud of the work that our operations and commercial teams did alongside our producer customers to mitigate the impact and ensure that our assets were back up and running as safely and efficiently as possible after the storm subsided. While we estimate this event had a negative cash flow impact of about $13 million to the second quarter results, our assets are now back to full capacity and producers are working hard to play catch up, which should drive volumes and completion activity in the second half of the year and well into 2023.  I guess finally before I hand the call over to Robert to go through the numbers, Iâd like to say how proud I am of our employees and their efforts to create a bigger, better, stronger Crestwood in the areas that we operate. The Oasis and Sendero opportunities were logical consolidation opportunities that checked all of our boxes for value creation and were extremely synergistic with our existing assets and existing commercial relationships. We now have the necessary tools in our core assets to organically build financial and operational scale and continue to be competitive for future third party opportunities. The fundamentals of the business are very strong right now, particularly in the Williston, Powder and Delaware despite the short term noise around the second quarter weather impact. I think weâre very well positioned to benefit from the commodity price upside going forward, and Iâm excited about our outlook as we begin to really benefit from enhanced operational scale, meaningful excess cash flow that we think will create significant long term value for our unit holders.  Again, just to make a point, after 18 months and six significant transactions, weâre in great position right now to really benefit from the market that weâre in, in the areas that we operate. With that, Iâll turn it over to Robert to provide the details of the second quarter results.
Robert Halpin: Thank you Bob. For the second quarter, Crestwood generated adjusted EBITDA of $180 million and distributable cash flow of $108 million, year-over-year increases of 23% and 26% respectively. Our second quarter results were driven by robust Delaware Basin activity and strong commodity prices offset by the $13 million impact from the winter storms that impacted the Williston Basin for a big portion of April and May. If not for the weather impact, our earnings would have been in line with to slightly ahead of our internal budget forecasts for the quarter.  For the second quarter, Crestwood announced a $0.655 distribution payable on August 12 to unit holders of record as of August 5, resulting in a coverage ratio of 1.7 times.  Looking to the segments, in the gathering and processing north segment, second quarter 2022 EBITDA totaled $153 million, an increase of 47% over the second quarter of 2021, largely the result of the contribution from the Oasis Midstream assets. During the quarter, volumes began flowing through the Continental Express pipeline in the Powder River Basin and have already exceeded internal expectations. We expect these volumes to continue to ramp up as Continental Resources executes on its drilling program in the basin. There are currently four rigs running in the Williston Basin and two rigs running in the Powder River Basin. In the gathering and processing south segment, second quarter 2022 segment EBITDA totaled $32 million, that representing a 60% increase year-over-year driven by growth in the Delaware Basin and strong natural gas prices on the recently divested Barnett shale assets.  During the quarter, our producers operated an average of seven rigs. Including the newly acquired Sendero assets, we now anticipate more than 120 wells to be connected in the Delaware Basin in all of 2022.  Finally in the storage and logistics segment, second quarter 2022 EBITDA totaled $5 million, a decrease year-over-year primarily due to the divestiture of the Stagecoach Gas Services joint venture in July of 2021 and the negative impact of the hedges related to our commodity exposure on our gathering and processing assets. During the quarter, the NGL logistics business benefited from increased volumes offset by fewer storage opportunities.  Based on first half results and the recent strategic transactions, Crestwood now expects full year adjusted EBITDA to be in the range of $800 million to $840 million. This revised range is driven by the favorable impacts of the Sendero and CP JV acquisitions, partially offset by the divestiture of the Barnett assets, the impacts of the weather events in North Dakota, and some timing shifts in well completion activity due to weather and ongoing oilfield services constraints in the Williston Basin. In addition, we are also revising our 2022 growth capital to a range of $220 million to $240 million, which includes approximately $35 million of capital which we inherited with the recent Sendero and CP JV acquisitions and approximately $25 million in newly underwritten organic projects to support accelerated customer activity, primarily in the Delaware Basin. A sizeable mix of our 2022 capital program is centered around integrating Crestwoodâs legacy systems with many of the assets that we have acquired over the last year. As our customers continue to execute their development plans in this favorable commodity backdrop, this positions Crestwood for robust volumetric and cash flow growth in 2023 with substantially lower capital requirements.  Crestwood remains committed to maintaining a strong balance sheet and significant financial flexibility. As of June 30, Crestwood ended the second quarter with $2.9 billion in long term debt, including $679 million drawn on our $1.5 billion revolving credit facility, resulting in a leverage ratio of 3.7 times.  Before going to the Q&A, I want to echo Bobâs sentiments - I am very pleased with how Crestwood is positioned here midway through 2022. The recent investments we have made in the last 12 months significantly high grade and expand our operating footprint in our core basins, which represent the most economic upstream basins in the U.S. All three of Crestwoodâs core assets are underpinned by long term contracts with the best capitalized and most active producers in each respective basin. As a result, we are now better positioned to capture the full extent of continued volume growth in the second half of 2022 and well into 2023 in this current commodity cycle. As Crestwood has executed its near term strategy of M&A consolidation around our core areas, we now shift our focus exclusively towards integration of these new assets and organic growth projects, resulting in meaningful free cash flow growth that we will use to further reduce leverage and enhance returns to our investors. We believe this will best position Crestwood to continue delivering long term value for our unit holders. With that, Operator, we are now ready to open the line up for questions. 
Operator:  Thank you. Our first question will be from the line of Jeremy Tonet with JP Morgan. Please proceed with your question.
Jeremy Tonet: Hi, good morning.
Robert Phillips: Good morning Jeremy.
Jeremy Tonet: I just wanted to get an update from you guys as far as there was a fire in Medford with some of the fractionation facility there. Just wondering if that might have any impact on your operations over the balance of the year, or any color you could provide there. 
Robert Phillips: Jeremy, weâve got John Powell on the phone in Kansas City - he runs our NGL business and has the relationship with One Oak, so he probably has the most updated information. JP, are you on?
John Powell: Yes. Jeremy, thanks for the question. I think it was a good question relative to our assets up there. In discussions with One Oak, they are currently running--continue to run the pipeline. This is a similar exercise that they just recently took down their frac in Bellevue, and so that was back in May or June, and so similar exercise with that Medford frac. They have plenty of storage capacity, plenty of pipeline capacity, and so theyâre working with other industry parties to offload a lot of this Y-grade, so we havenât seen any disruption from One Oak from that standpoint. Obviously itâs a critical piece of infrastructure in the Oklahoma area that is able to clear these liquids, but we have a lot of confidence in One Oak with their diverse portfolio to be able to handle the issue at hand, so so far, so good.  Just as a backdrop, weâve been able to clear the plant through truck as well as rail, so weâre positioned to do that as well if necessary to keep everything running, but so far, everything looks well from a One Oak standpoint to be able to continue to take the barrels.
Jeremy Tonet: Got it, thatâs very helpful. Then pivoting over, just wanted to get your thoughts on future midstream consolidation - you know, Crestwoodâs been quite active recently. I think you said partnerships moving more towards harvest mode here, but just wondering, do you think there is more consolidation in the industry over time, and would Crestwood be involved at a later date?
Robert Halpin: Yes, thanks Jeremy. I think yes is your answer. Consolidation has happened in the midstream space and will play out over time. For us right now, though, weâre really concentrating on integrating and optimizing the assets that weâve acquired over the last 18 months and making sure that we generate the return we expected from those investments, if not more. But long term, I would expect us to participate but just probably not in, call it the next six to 12 months.
Jeremy Tonet: Got it, thatâs helpful. Iâll leave it there, thanks.
Robert Phillips: Well, itâs a great question which highlights again the strategy. After we finished the organic build-out 2017 to 2019, we saw the opportunity to really core up our position in those three basins and add substantially to the great rock and long term inventory that we have dedicated to our assets, and weâve really executed on that, I think flawlessly with the Oasis Midstream acquisition. You know, that more than doubles our processing capacity and our system reach and gets us out into the western region, which has historically not been drilled as heavily as maybe some of the central Bakken positions have. Same thing in the Delaware - by combining our Willow Lake, Orla and Sendero, weâre adding substantial acreage, a substantial number of additional drilling locations. I think if I recall, itâs coincidentally about the same number, about 1,200 drilling locations that we added in the Bakken and 1,200 in the Delaware - smaller systems, but obviously the Delaware is a lot more prolific, so weâve really accomplished our initial strategy to core up our position in those three basins, which we think will drive growth for many, many years at Crestwood. The next phase of this consolidation, weâll just have to be patient and opportunistic and wait to see what we see, but right now we are laser focused on getting leverage back down again to our target goal and to generate free cash flow and continue to drive return to our shareholders.
Operator: Thank you. Our next question comes from the line of Neal Dingmann with Truist Securities. Please proceed with your questions.
Neal Dingmann: Morning all. It seems like you made nice progress on the recent deals. Iâm just wondering, could you give maybe a little bit more color, if youâre able, just on how the integration process is going and when you think youâll be fully integrated on Sendero and some of the others?
Robert Halpin: Yes, thanks Neal. Iâll speak briefly to that and then may ask Diaco to chime in a little bit, if heâs got incremental comments. I think the short answer is things are going exceptionally well. One of the most attractive elements of the Sendero assets was obviously just where the system was positioned relative to ours and what it enabled us to do from a capital efficiency standpoint to integrate those two systems, interconnect our New Mexico pipeline compression assets with their plant capacity. Iâm happy to report that thatâs largely completed and we are feeling very, very good about having that excess capacity and the production outlook from each of our customers.  I think weâre a couple million dollars ahead of schedule out of the gate around monthly cash flow generation and would expect that trend to continue as weâve got a lot of development expected here in the second half. We would not have been able to capture all of that without this excess capacity and integration of these assets, so I think early signs are very favorable. We look forward to getting our producers 23 schedules and expect a big year for ourselves.
Robert Phillips: Doc, why donât you comment on the cost savings, particularly on the Oasis integration?
Robert Halpin: Yes, so for the Oasis integration, as were originally announced, we were targeting around $25 million of cost synergies to achieve. We are right on track related to that, or weâre actually ahead of schedule from a cost standpoint with costs coming in about $4 million lower than what we anticipated so far through June 30, so we believe that weâre ahead of our cost synergy targets right now for Oasis. We are actively integrating the Sendero assets from a back office standpoint, from a cost standpoint as well, and we believe weâre going to be able to achieve those synergies as well for those assets soon.
Robert Phillips: And Diaco, how about commercial synergies?
Diaco Aviki: Those are going very well. In the Bakken, weâve picked up a couple of the opportunities that werenât in our planning forecast, so weâll see that revenue continue to pour in as the year progresses and into â23 predominantly, and then from a Sendero perspective, the synergies there between the two plants and infrastructure are outstanding. We forecast the Sendero facility to be fairly utilized through â23 and weâre excited about that.
Neal Dingmann: So you do have, it does sound like, a little bit more synergies than even expected prior to the deal?
Diaco Aviki: Absolutely.
Neal Dingmann: Great, great. Then just lastly, second question on infrastructure, could you talk maybe specifically did you all have to make any permanent changes, or did you make any permanent changes to the Bakken assets post the 2Q storms, or was it just sort of typical, what youâre sort of, I guess, somewhat used to, typical offline issues that came back?
Diaco Aviki: Yes, this is Diaco, good question. The Bakken storms were really more of an upstream event versus a midstream event. If you think about the facilities out there, a loss of power really does drive a tremendous amount of offline activity. As Bob referenced, our impact was much less than the industryâs impact in the Bakken, to the tune of about 10% less, so our operations team did a great job with redundancy through power generation, back-up generation that we had already in place on standby, and our producer customers did a fantastic job getting back online. Chord, Devon, our two major customers up there did a great job getting their assets back online. No facility changes, no capital improvements were necessary due to those storms. We went unscathed, and the best thing about it, safety was number one priority. No one got hurt.
Neal Dingmann: Great to hear. Thanks guys.
Robert Phillips: Thanks Neal.
Operator: Our next question is from the line of Elvira Scotto with RBC Capital Markets. Please proceed with your questions.
Elvira Scotto: Hey, good morning everyone. First question is around inflation. Can you just maybe talk a little bit about the inflationary environment - any cost creep that youâre seeing on capex, any impact to returns, and then maybe--you know, we know that thereâs some inflation escalators built into your contracts, so maybe talk a little bit about those as well.
Diaco Aviki: Hey Elvira, this is Diaco. Great question. Let me start with the commercial contracts. The escalators are in all of our contracts. We have them predominantly in all of them and they follow CPI, so we expect to see those continue to play through as the contracts escalate predominantly on an annual basis. Then secondly on the capital operating side, we have done a fantastic job in mitigating inflation. Our operating expenses are below budget.  Some of the things that weâve done just to mitigate--you know, the big challenge is actually sourcing material from a capital perspective, and weâve got inventory levels for our critical equipment that as we have projects come due, we look at our inventory levels, we check in with our suppliers on lead times, we understand lead times being pushed out, and we adjust our inventory levels based on the forecasted lead times, so weâve had zero projects waiting to be completed because of inventory issues. All our projects have come in at budget or under budget for the year, and most of these projects were underwritten in 2021, so just an outstanding job by the team. Whatâs most amazing is even the projects that we didnât have underwritten in â22, weâve been able to source and quickly respond to our customersâ needs, and youâll see some of that fruit in late â22 or early â23.
Elvira Scotto: Great, thank you. Then just my next question, youâve done a great job of, I guess, pruning your portfolio, maybe selling some less core assets. Are there any other assets that you consider maybe less core that could be under consideration for sale?
Will Moore: Yes Elvira, this is Will. As we look at our portfolio, weâre always looking at it as a portfolio manager, and so if there is an asset in our portfolio that someone will put a value on that we think makes sense to transact, and we have the opportunity to redeploy that cash into the balance sheet or into other capex programs, weâre going to look at it. I wouldnât say that we have an active divestiture program going right now, but weâre always going to be opportunistic around those types of situations.
Elvira Scotto: Great, thank you very much.
Robert Phillips: Thanks Elvira.
Operator: Thank you. As a reminder, to ask a question today, you may press star, one. The next question is from the line of James Carreker with US Capital Advisors. Please proceed with your questions.
James Carreker: Hi, thanks for the question. I was wondering if you guys could quickly walk through the mechanics of how your G&P hedges flow through to the S&L segment and if thereâs any way to kind of quantify that impact in Q2 and then the revised â22 guidance.
Robert Halpin: Yes, so the hedge impact, obviously all of our hedging and risk management activities run through the storage and logistics segment, so we see any impacts associated with the NGL business hedges and the G&P hedges in that segment, and then obviously any benefit to the commodity--from the commodity portfolio on the pop book appears in the G&P portfolio.  Just to put some numbers to it, on a full year 2022 basis, we expect there to be about a $30 million hedge impact given the current price outlook for the full year, so thatâs what you see in kind of the revision of the guidance across the three segments. Thatâs the primary driver of the movement in the S&L segment. Obviously we see the benefit of that flow through the G&P portfolio as we get higher commodity price realization on our pop book, so thatâs kind of full year impacts and how it flows through, if that helps you.
James Carreker: So the S&L segment includes both the realized and the unrealized gains and losses?
Robert Halpin: Yes, thatâs correct. 
James Carreker: Okay. Then this is going quickly, so maybe you touched this in your opening remarks, but with the winter weather impacts, I guess, how does your full year â22 well connect count look today versus maybe at the start of the year? Are we getting the same wells in a compacted amount of time, or are some of those wells slipping into â23? How is that dynamic playing out?
Robert Halpin: Yes, I would say weâre largely on track across our three core areas. As we talked about in the press release and in our commentary, we did see some deferrals of timing in North Dakota around completions that were scheduled during the second quarter that got pushed because of the winter weather, and that just kind of shifts everything back in the Q.  We still--you know, as we communicated today, we still expect to complete roughly just north of 100 wells, think right around 110 wells for the year, full year in North Dakota, and weâre kind of generally in line with the original guidance we put out at the beginning of the year at 110 to 120 wells. I think we feel pretty good about how weâre positioned there. Youâll have some timing shifts and it will be a big, busy second half of the year, which should position us well into 2023. When you look at the Delaware Basin, weâve seen an uptick in activity there - more production really across both the legacy Crestwood assets and the Sendero assets. We now expect to complete, I think in total close to 150 wells across both systems over the course of the year, so all turning in the right direction. Diaco, anything youâd add from a commercial standpoint?
Diaco Aviki: Yes, thank you Robert. James, one thing I do want to add is we did have some wells pushed into â23 and those are some ducts on our system. There is nine ducts--thereâs 16 that exist today, nine will be sitting in â23, and those are more facility-related on the upstream side where they had to make some modifications and order some facilities that will push that completion activity into â23. 
James Carreker: Thatâs great. If I could fit one more in, just any updated thoughts - you know, the Chord merger now complete and obviously owners of a significant amount of your units, any conversations with them about their long term plans with those?
Robert Phillips: James, thatâs a great question since I highlighted that in my opening comments. Weâve got a great strategic alignment with Chord. We know both sets of executives that will form that combined executive team, know them well, known them for a long time. In fact, a lot of that Whiting group used to be Kodiak, which was one of the original producers on our Arrow system. Weâre really pleased with how their governance structure shook out, how their management team is shaking out, the integration process that they are undergoing right now.  Our level of communication and collaboration with now Chord, previously Oasis, has increased dramatically over the last several weeks to couple of months, owing largely to the completion of the merger. I think that they are hitting on all cylinders right now and really gearing up to get their â22 program not underway, but back up to speed - it might have been slowed down some by both the winter weather event which impacted Oasis and Whiting both, as well as just the nature of a large scale producer integration merger process like that, so weâre excited about that. We have a great relationship with them at all levels of the company. We inherited a fairly full capital project program, which you can see from the numbers that weâve quoted here in terms of the amount of capital that weâre spending. Itâs almost all entirely on the Oasis assets in expectation of significant development by now Chord Energy, so Iâm really pleased from a commercial and operating standpoint. Robert, you can talk more about it from a financial standpoint as you talk regularly with them, so give us an update there.
Robert Halpin: Yes James, Bob mentioned the relationship on the commercial and operations side. We have a similar relationship with the leadership team around our alignment and ownership. Obviously they still have two representatives on our board and weâre very excited about growing that relationship going forward. I think thereâs obviously strong alignment of interest as their largest service provider and they our largest customer to continue ensuring that their North Dakota production finds its way to market as efficiently as possible, and I think as a result of that, they like having insight into our business and our execution plans and expectations, so I donât--you know, we donât have any meaningful recent updates from them. I think that their ownership position is still very much strategic to them, and I do know just from some ongoing discussions that they, like us, see the price activity across the sector over the last several months, and for Crestwood specifically, and donât really think it aligns with the broader market opportunities given the commodity backdrop, and so I think weâll continue in the current relationship and look forward to them getting the merger behind them now and integration underway, and seeing the benefits of their broader portfolio into the future.
Robert Phillips: And James, I should have mentioned that weâre really pleased with the two new board reps that Chord has designated for us - very experienced people, will add significantly not only to our diversity on the board but overall energy value chain experience, and weâre very pleased to have them on the board. Theyâve already jumped in and starting working with us, so very happy about that.
James Carreker: Great, thanks for all that color.
Operator: Thank you. Weâve reached the end of the question and answer session. Iâll now turn the call back to Bob Phillips for closing remarks.
Robert Phillips: Thanks Operator. Iâd just like to make a point to our investors, that oftentimes this kind of data or performance doesnât really rise to the level of second quarter reporting, but our safety performance in the first half of this year has been record breaking at Crestwood. Weâre now 12 years old, and I can tell you this is the best first half of the year safety performance that we have had in the history of the company.  Weâve got a lot of momentum going into the second half of the year. What it tells me, having been in the business for a long time, is this is a very mature organization. We know how to acquire and integrate and divest assets; in fact, if you go back over the 12 year history, weâve actually made 18 acquisitions and nine divestitures, so the company is very mature from an integration standpoint.  Oftentimes, as you know, a companyâs safety performance suffers when theyâre going through mergers, acquisitions, divestitures, integration, kind of on and on and on. Iâm really proud of the job that our integration teams have done, both at Oasis and now at Sendero. Weâre quick, weâre thorough, weâre efficient, we get that past us. Our engineer project management team have jumped on the projects that were sitting in the hole, waiting to be moved on from both of those companies, and weâre really pleased about the capital efficiency and the scheduling and timing that they are showing us. I would just say quickly that a company that has great safety performance during a year of both weather related challenges as well as integration challenges is a very mature organization, and Iâm proud of what weâve done at Crestwood. I think the second half of the year is going to be great and â23 will be even better. As Will said, weâre in harvest mode now but weâre always opportunistic looking for the next big opportunity in the areas that we operate, so really proud of the team not only for the execution of the strategy but now the execution of the integration and achieving the cost savings, the commercial synergies, and doing so with excellent safety performance in the first half of 2022. Hope some of the analysts can give our investors an update on that as well. Weâre really proud of this company and their safety performance.  With that, Operator, weâre done for today. Thank you all for joining us and look forward to talking to you after the third quarter report. 
Operator: Thank you. This concludes todayâs conference. You may disconnect your lines at this time and we thank you for your participation. 